Operator: Welcome to the Match Group Fourth Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. Should you need assistance, after today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Tanny Shelburne, Senior Vice President of Investor Relations. Please go ahead.
Tanny Shelburne: Thank you, operator, and good afternoon, everyone. Today's call will be led by CEO Spencer Rascoff and CFO Steven Bailey. They'll make a few brief remarks and then we'll open it up to questions.
Spencer Rascoff: Good afternoon, and thanks for joining us. Just one year ago, I became CEO of Match Group. From day one, my focus was clear. Prioritize user outcomes to rebuild trust and position Match Group to lead the next chapter of human connection. Given Tinder's scale and importance, I also took direct ownership of its turnaround. To guide this work, I laid out a simple three-phase transformation: reset the company, revitalize the products, and drive a resurgence with our audiences and, over time, our financials. We completed the reset phase by putting user outcomes at the center of everything we do, rationalizing costs, and shifting from a siloed organization to a more collaborative one MG approach. With that foundation in place, we are now firmly in the revitalize phase. Focused on delivering clear value to users and building experiences that lead to real human connection. And at Tinder, I'm confident we have compelling 2026 product roadmaps across the company, that by the end of this year, the product will feel meaningfully different. Before focusing on Tinder, I first want to highlight our financial performance in 2025 and our expectations for 2026, which Steve will then cover in more detail. In 2025, we achieved our Match Group revenue and margin goals, excluding the discrete items we've called out in prior quarters, and generated over $1 billion in free cash flow. Which we returned to shareholders through nearly $800 million of share buybacks and nearly $200 million in dividends, reducing our diluted shares outstanding by 7% year over year. And we did this while making meaningful progress on the Tinder turnaround and continuing to invest in Hinge. In 2026, we expect Tinder year-over-year direct revenue declines to be similar to 2025, as we continue to make product changes to improve user outcomes and drive long-term sustainable growth, but with short-term revenue trade-offs. Across the rest of the portfolio, we expect continued strong direct revenue growth at Hinge, while Evergreen and Emerging, or E and E, and MG Asia continue to face headwinds. We are reinvesting savings from last year's workforce reductions and alternative payments initiative into Tinder and Hinge product and marketing to drive long-term growth and shareholder value. Together, we expect this to result in relatively flat Match Group total revenue year over year in 2026 and adjusted EBITDA margins broadly in line with last year's, excluding the discrete items we've discussed. Now let me go a level deeper on Tinder. The most important leading indicators we track for product efficacy are sparks and spark coverage. Sparks reflect the number of users engaging in a six-way conversation which we believe is a strong proxy for real connection. Spark coverage measures what percent of our users get a Spark in that period. Both metrics are improving, including among Gen Z users in the US. Globally, total sparks were down 11% year over year in December 2024, compared to down 5% year over year in December 2025. Similarly, global spark coverage improved from down 1% to up 4% year over year over that same period. Our product work is paying off. Our data indicates that sparks drive retention, retention helps stabilize monthly active users or MAU, and stabilized MAU supports revenue recovery over time. It is the earliest measurable signal that the ecosystem is healing, and I'm very encouraged by these trends. We also closely tracked new registrations as a leading indicator of future MAU growth. Globally, new registration trends have improved significantly, down 5% year over year in Q4 compared to down 12% year over year in Q2, also a very positive signal. Now naturally lags, but, again, we're starting to see some progress here as well. MAU was down 9% year over year in Q4, compared to down in fact, year over year MAU declines in December improved by at least 10% year over year in Q3. Two points across 15 countries, together representing approximately one-third of Tinder's global MAU. And in 10 of those markets, we're actively testing new marketing strategies. This momentum has continued into early 2026 driven by better retention of existing users. Much of this progress is a result of our increased focus on improving the experience for women, and in turn, for all users, through greater relevance and stronger safety. For example, we've been testing new AI-driven recommendation algorithms, which affect the order of profiles shown to women. Project Aurora has been an important learning engine, allowing us to test multiple high conviction product changes together in a single market, Australia. In tests, sparks went from down 14% in December 2024 to down around 8% year over year in December 2025, and Spark coverage reversed declines from down 2% to up 2% year over year over that same period. Now trends have also improved in Australia from down 12% in January 2025 to down 9% in December 2025. An improvement was even more pronounced among women over that same period. Importantly, the negative revenue impact from these product changes continues to be less than we expected. This gives us a lot of confidence that the turnaround is working. Our 2026 product roadmap at Tinder directly addresses the most common Gen Z pain points. They want better outcomes, so we're focusing on relevance match quality. They want authenticity and trust, so we're further strengthening verification and safety. And they are feeling dating fatigue, so we're redesigning discovery to be more expressive and less repetitive. The early indicators give us confidence in our strategy, and I expect more lagging indicators like year over year MAU trends to improve throughout the year as we execute on the product roadmap. Our objective is to reestablish Tinder as a sustainable growth business in 2027 and beyond by restoring durable user engagement and relevance at scale. While this approach involves making some near-term revenue trade-offs, we believe it ultimately strengthens Tinder's long-term monetization engine and will provide opportunities to increase both payer penetration and revenue per payer. As user outcomes and the overall ecosystem improve. On March 12, Tinder will host our first-ever product event in Los Angeles, to showcase upcoming feature updates AI-driven innovations, and a deeper look into our roadmap. The event will be webcast and available via our investor relations website. Turning now to Hinge. Our latest research with Harris Poll shows that roughly 80% of Gen Z singles want meaningful relationships. Much higher rates than older generations. And we believe our platforms will increasingly be where those connections begin. Hinge continues to be the leading app in this intentional or focused dating space. With strong user growth and revenue momentum. Hinge's exceptional performance reflects clear positioning, disciplined execution, and a simple north star of getting users on more great dates. Trust and safety is the foundation for this Hinge experience. Built upon Tinder's successful rollout of face check, Hinge is also rapidly rolling this feature out in key markets. By the '1, we expect Tinder to launch FaceCheck globally in the majority of markets, and Hinge to have rolled out in some of its major markets. On Tinder, FaceCheck has led to a more than 50% reduction in interactions with bad actors in markets where it's been rolled out. With only a minimal impact on revenue. And we expect it to meaningfully improve Hinge's user experience as well. In Q1, Hinge is also testing features that help users get out on great dates faster, including direct to date, which clarifies intent to accelerate IRL or in real life plans, and a redesigned onboarding experience to build confidence in profile creation. Hinge will also roll out an AI-driven feature, convo starters. To more countries following its successful rollout in the US in December. Hinge is poised to stay at the forefront of product innovation in the category, and it continues to show broad appeal, not only in the US, but also across every international market it has entered. Hinge officially entered its first non-English speaking market in 2022, supported by already strong organic traction. Since then, Hinge has actively marketed in 12 European countries, European expansion markets, where it is the top downloaded app as of December 2025. In these markets, Hinge ended 2025 with over 3.3 million monthly active users, up from only 200,000 at launch. User growth continues to scale rapidly with now growing nearly 50% year over year in 2025. We expect Hinge to deliver over $100 million of direct revenue in 2026 in its European expansion markets with significant runway ahead. In 2025, Hinge successfully launched in both Mexico and Brazil. Where very early results have far outpaced our expectations. Hinge was already the second most downloaded dating app in and Brazil as of December 2025 and is clearly resonating with intentioned daters. Building on this momentum, Hinge plans to expand to three additional Latin American markets in 2026, Argentina, Chile, and Peru. And into its first APAC market, India. Hinge has already built a meaningful organic presence in India with over 1 million monthly active users in 2025, growing 40% year over year, without marketing spend. Overall, Hinge is on track with the targets we've shared previously and demonstrates how a strong focus on product market fit and user outcomes can drive durable growth and long-term shareholder value. Taken together, the work at Tinder and Hinge gives us greater clarity on how the portfolio fits together and how we can unlock new value with focus and investment. Our robust multi-brand portfolio provides scale, rich data from multiple apps, in a multi-app usage category, and the ability to serve different user intents. While preserving strong and distinct brand identities. We've introduced a simple internal framework to articulate how we position our brands based on how they solve users' needs. At one end of the portfolio is fun, where Tinder leads with social low-pressure connection. At another is focus, where Hinge leads with intention and depth. Purpose. And across familiarity, our affinity brands serve communities with shared intent and some of our apps sit at the intersection of these user needs. For example, the league, our app for intentional dating among highly ambitious people, sits at the intersection of focus and familiarity. This rubric shows how we think about future growth, including M&A and incubations. It helps us identify white and gray space where unmet user needs exist, and where we can build or acquire products that meaningfully expand how people connect. Let me close with this. At the core of our vision for Match Group is a simple truth. Humans need humans. In a world facing a growing loneliness and mental health crisis, we believe Match Group is uniquely positioned to make a positive impact by helping people form real connections. We believe Match Group plays a fundamentally different role in people's lives than most digital platforms. Our goal is clear. Help users get off their phones and into the real world. Where meaningful relationships actually form. Long-term value creation depends on delivering successful outcomes for our users. People will only use our products if they work. We believe AI is a core enabler of how we improve relevance and matching strengthen trust and safety at scale, increase the speed at which we learn and iterate. The early progress we're seeing in our technology, product quality, and user outcomes reinforce our decision to double down on these initiatives, all while maintaining a commitment to returning meaningful capital to shareholders through buybacks and our dividend. And boost our confidence in the turnarounds already underway at Match Group. With that, I'll turn it over to Steve.
Steven Bailey: Thanks, Spencer. Today, I'll share more details on our latest performance and discuss our guidance for Q1 and full year 2026. Unless otherwise noted, all amounts are on an as-reported basis and comparisons will be discussed on a year-over-year basis. More details can be found in the financial table below. We finished 2025 with another quarter of strong execution. Total revenue and adjusted EBITDA both exceeded the high end of our Q4 guidance. Total revenue benefited from a smaller than expected impact from Tinder's user experience. These tests had a $6 million negative impact on Tinder direct revenue in Q4 which was $8 million less than we expected at the time of our last call. And adjusted EBITDA benefited from our ongoing cost efficiency efforts. Diving deeper into Q4, Match Group delivered total revenue of $878 million, up 2% and flat on a foreign exchange neutral basis. Payers declined 5% to 13.8 million, while RPP increased 7% to $20.72. Adjusted EBITDA was $370 million, up 14%, representing an adjusted EBITDA margin of 42%. Excluding an $8 million gain on the sale of an LA office building, and $2 million of restructuring costs, adjusted EBITDA margin would have been 41%. For the full year 2025, Match Group delivered total revenue of $3.5 billion, flat both as reported and FXM. Adjusted EBITDA for the full year was $1.2 billion, down 1% representing an adjusted EBITDA margin of 35%. Excluding the legal settlements, restructuring costs, and the sale of an LA office building, each of which we've discussed in prior quarters, adjusted EBITDA margin would have been 38%. Which meaningfully exceeded our 36.5% margin target provided at the 2025, primarily due to our restructuring efforts alternative payment initiative. Tinder Q4 direct revenue was $464 million, down 3% down 5% FXM. Tinder payers declined 8% to 8.8 million, and RPP grew 5% to $17.63. Adjusted EBITDA in the quarter was $263 million, up 1%, representing an adjusted EBITDA margin of 55%. For the full year, Tinder delivered direct revenue of $1.9 billion, down 4%, down 5% FXM. Adjusted EBITDA was $941 million, down 7%, representing an adjusted EBITDA margin of 49%. Excluding the $61 million candle or legal settlement charge, and $5 million of restructuring costs, adjusted EBITDA margin would have been 52%. Hinge Q4 direct revenue was $186 million, up 26%, up 24% FXM. Payers were up 17% to 1.9 million, and RPP grew 8% to $32.96. Adjusted EBITDA was $67 million in Q4, up 54%, representing an adjusted EBITDA margin of 36%. For the full year, Hinge delivered direct revenue of $691 million, up 26%, up 25% FXN. Adjusted EBITDA was $226 million, up 36%, for an adjusted EBITDA margin of 33%. E and E Q4 direct revenue was $145 million, down 7%, down 9% FXM. Payers were down 14% to 2.1 million, and RPP grew 8% to $22.53. Adjusted EBITDA was $48 million, flat year over year, representing adjusted EBITDA margin of 33%. For the full year, E and E delivered direct revenue of $594 million, down 8%, down 9% FXM. Adjusted EBITDA was $140 million down 18%, for an adjusted EBITDA margin of 23%. Excluding the $14 million Federal Trade Commission legal settlement charge and $6 million of restructuring costs, adjusted EBITDA margin would have been 26%. Match Group Asia direct revenue in Q4 was $66 million, down 2%, down 1% FXM. Azure direct revenue was up 1%, both as reported and FXM. Payers direct revenue was down 5%, down 4% FXM. Across Match Group Asia, payers increased 3% to 1 million. While RPP declined 5% to $20.91. Adjusted EBITDA was $16 million, up 2%, representing an adjusted EBITDA margin of 25%. For the full year, Match Group Asia direct revenue was $267 million, down 6%, down 5% FXM. Excluding the exit of our live streaming businesses, Match Group Asia direct revenue would have been flat year over year. Up 1% FXM. Adjusted EBITDA was $66 million up 9%, for an adjusted EBITDA margin of 25%. Including stock-based compensation expense, total expenses in Q4 were down 7%. Cost of revenue decreased 6% and represented 25% of total revenue, down two points as a percent of total revenue, driven by alternative payment savings. Selling and marketing costs increased $6 million or 4% but was flat seven at 17% of total revenue. Primarily due to higher marketing spend at Hinge. General and administrative costs decreased 22%, down three points as a percent of total revenue to 10%. Driven by the gain on sale of an LA office building and lower legal fees. Product development costs remained flat at 12% of total revenue. Depreciation and amortization decreased by $10 million to $21 million due to lower internal internally developed capitalized software costs primarily at Tinder. Our trailing twelve-month gross leverage was 3.2 times, We ended the quarter with $1 billion of cash, and net leverage was 2.4 times at the end of Q4. Cash equivalents, and short-term investments on hand, plan to use $424 million of cash to pay off the 2026 convertible notes on or before their maturity in June. In Q4, we repurchased 7.3 million shares at an average price of $33 per share on a trade date basis, for a total of $239 million and paid $45 million in dividends. For the full year 2025, we delivered operating cash flow of $1.1 billion and free cash flow of $1 billion. Free cash flow was negatively impacted by the timing of the final Apple payment of the year, which we expected in December but did not receive until early January. For the full year 2025, we repurchased 24.7 million shares at an average price of $32 per share on a trade date basis for a total of $789 million paid $186 million in dividends, and deployed $129 million of cash towards net share settlement of employee equity awards to reduce share dilution. Equating to 108% of free cash flow in total. As of 01/31/2026, we've reduced diluted shares outstanding, by 7% year over year, a meaningful accomplishment. Our board of directors declared a cash dividend of 20¢ per share, representing a 5% increase from our prior quarterly dividend. The dividend is payable on 04/21/2026, to shareholders of record as of 04/07/2026. The increased dividend reflects our commitment to providing shareholders with a predictable and consistent form of capital return. Dividend is expected to be paid on a quarterly basis going forward subject to approval by our board of directors. Now for guidance. We expect Q1 total revenue for Match Group of $850 million to $860 million, up 2% to 3% year over year. This range assumes a three and a half point tailwind from FX. FXN, we expect total revenue to be down 1% to flat. We expect Match Group adjusted EBITDA of $315 million to $320 million representing a 15% year over year increase, and an adjusted EBITDA margin of 37% at the midpoints of the ranges. Q1 total revenue guidance assumes a $6 million negative impact to Tinder direct revenue from user experience tests. For the full year 2026, we expect Match Group to deliver total revenue of $3.41 to $3.535 billion approximately flat year over year at the midpoint of the range. This year over year range assumes a one-point tailwind from FX. A nearly one and a half point headwind from Tinder user experience tests and a one-point headwind from the planned rollout of face check across the portfolio. We expect full year 2026 indirect revenue to decline in the mid-teens percent. We expect total Match Group adjusted EBITDA of $1.28 to $1.325 billion and adjusted EBITDA margin of 37.5% at the midpoint of the ranges. As we reinvest savings into Tinder and Hinge to drive the revitalization phase of our transformation. Our guidance assumes approximately $110 million of adjusted EBITDA based on current App Store policies. Savings in 2026 from alternative payments, The App Store fees we pay could change based on evolving litigation and regulatory changes both in the US and in other jurisdictions. Including the Epic Games versus Apple case, which was recently sent back to the lower court. We continue to monitor these events closely, will determine the appropriate course of action if and when there are future changes to App Store policies. At Tinder, we expect direct revenue to decline approximately the same rate as 2025. Our guidance assumes a three-point headwind from user experience tests and a one-point headwind from the full rollout of face check. It also includes a $50 million increase in Tinder marketing spend for a total budget of approximately $230 million. As we test in the marketing to support our product turnaround and user growth efforts. We expect adjusted EBITDA margins of approximately 50% with alternative payment savings helping to offset higher marketing spend. At Hinge, we expect continued strong direct revenue growth in the low to mid-20 percents and adjusted EBITDA margins in the mid to high 30 percents with robust margin expansion driven by our plan to reinvest only one-third of Hinge's expected savings from alternative payments. Hinge remains on track to achieve $1 billion in revenue in 2027, with continued margin expansion. At E and E, we expect direct revenue to decline in the low double digits as we work to reinvigorate emerging brands growth by improving user outcomes. We expect adjusted EBITDA margins to expand to the high 20 percents with the completion of our platform consolidation efforts and from alternative payment savings. And at Match Group Asia, we expect direct revenues to decline in the high single digits reflecting Azara's ongoing block in Turkey and a global rollout of a new user verification technology, which builds upon face check. We also expect a three-point FX headwind to Match Group Asia direct revenue. We expect adjusted EBITDA margins to be in the low to mid-20 percents. We expect free cash flow of $1.085 billion to $1.135 billion in 2026. An 8% year over year increase and representing 85% free cash flow conversion at the midpoint. Due in part to the Apple payment we originally expected in December but received in January. We expect SBC expense of $250 to $260 million and capital expenditures of $55 to $65 million. Effective tax rate is expected to be approximately 19%. Our capital allocation strategy remains unchanged, prioritizing organic in our business, capital return to shareholders through buybacks and the dividend, and selective M&A. We plan to continue net selling employee equity awards in 2026 to reduce dilution. Expect to use 100% of free cash flow for buybacks, dividends, and net selling employee equity awards over time. However, the percent of free cash flow used in any particular quarter or calendar year could vary due to a number of factors. Including market conditions. While execution in our existing businesses remains our top priority, we may use free cash flow for selective M&A. Evaluated on a case-by-case basis. Will continue to target net leverage of two to three times. Taking a step back, we've reduced our diluted shares outstanding by 7% over the last year, and our plan calls for a similar reduction in 2026. While we're hard at work turning around Tinder's MAU trends, we're also aggressively reducing shares outstanding, which we expect will leave us in a very attractive spot on the other side of this. With that, let's turn it over to Q&A.
Tanny Shelburne: Before we call, we may discuss our outlook and future performance. These forward-looking statements may be preceded by words such as we expect, we believe, we anticipate or similar statements. These statements are subject to risks and uncertainties. And our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our earnings release periodic reports with the SEC. Also during this call, we will discuss certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are provided in the published materials on our IR website. These non-GAAP measures are not intended to be substitutes for our GAAP results.
Spencer Rascoff: Operator, we're ready for the first question, please.
Operator: We will now begin the question and answer session. If you are using a speakerphone, please pick up your handset before pressing the keys. Our first question today comes from Jason Helfstein Oppenheimer. Please go ahead.
Jason Helfstein: Thanks for taking the question. I guess just to Spencer, any more details you can share around the early learnings from Project Aurora? And is the idea that, you know, is it one kind of one thing or the idea is that you know, you may take pieces of it and use some, use all, etcetera, etcetera. So the point is, like, I guess, just just just expand there. And then just second, can you connect the dots with us to Tinder between the fourth quarter improvement in new registrations? And MAU and the 4% increase in December sparks? And did sparks improve throughout the quarter? Thanks.
Spencer Rascoff: Yes. Thanks, Jason. So Aurora is our focus on Australia in Q4, and we gave Australia everything we had in terms of product improvements, up to that point in time and marketing spend and tactics. And so, you know, I'll give you some Australia specific data I don't think I I think some of this I referenced some of this is in the earnings script, but some of it is not. So, for example, Australia Sparks in December 2024 were down 14% year over year. In December 2025, they were down 8% year over year. Sparks coverage, we mentioned, went from negative 2% year over year to positive 2% year over year. Australia MAU in December 2024 went from negative 12% year over year to negative 9% year over year and female now improved even more. Overall now improved by three points but female now improved by five points. Australia double date usage also went up quite a bit. So last quarter, I said one of six Australians, 18 to 22, were using double date. This most recent quarter was one out of four. Were, 18 to 22 year olds were using DoubleDate. And overall in Australia, 10% of users are now doing using DoubleDate. So very encouraging results in Australia. It shows that a good product roadmap and, a lot of hard work and effective marketing can start to change these user metrics. In terms of the scope of what was in Australia and how we roll that out elsewhere, there are some aspects of Aurora which are already rolled out. Elsewhere. So, for example, face check was just in Australia at at some point in 2025. Now it's in much of the world. By March, it will be you know, in most in in almost in most territories. Globally. So face check is not just in in Australia, The marketing spend and tactics that we tested and learned our way through in Australia that also is being rolled out globally. Specifically, in 2026, focused more on user acquisition or performance marketing not top of funnel brand marketing. What I mean by that is, if you think of our past campaigns, such as it starts with a swipe, which generate overall awareness for Tinder, that would be an example of top of funnel brand marketing. But most of our marketing in 2026 following the results from Aurora, going to be bottom of funnel focused. These are things like, you know, real user generated content on TikTok or Instagram of young young users saying, I'm using double date, or this this is a totally Tinder. This is not what I thought Tinder was like. Check it out. So, so shift in marketing tactics and marketing scale globally based on what we learned from Aurora. But there are some things that are still only in This is, examples like chemistry, which we haven't rolled out into many other geographies yet. But we will know, but more to come on that soon. So that's how what we learned in Australia with project Aurora is informing the rest of the world. To your second question, Jason, about Q4 registration improvements where we went from negative 12% new regs in Q2 to negative 5% in Q4 how that ties to Sparks and MAU. I would describe it as this. If you think of our audience as a funnel, where at the bottom of the funnel, we have sparks, that six-way conversations, And at the very top of the funnel, you have new registrations. It's easiest to impact the bottom of the funnel. And so that's where you would expect this product-driven turnaround to start showing up the most in in our numbers, and and that is, in fact, what we're seeing. We can improve the user experience of the product relatively quickly with enough enough focus by improving our recommendation algorithms, by improving the apps performance and uptime, the design of the apps, the quality of our push notifications, you know, many other things that we've done on the roadmap over the last six months. So you see that in Sparks at the bottom of the funnel. It's much harder to drive top of funnel MAU growth and registration growth because that for that to grow, we need to drive reconsideration. We need to convince people to give Tinder another shot. It's very encouraging. You know, it it gives me a lot of confidence that we're even starting to see any improvement yet in MAU and new registrations given how recent the start of this turnaround really is. Operator, we're ready for the next question, please.
Operator: And the next question is from Cory Carpenter with JPMorgan. Please go ahead.
Cory Carpenter: Yes, thanks for the question. I had two. I know Australia has gotten a lot of focus but you mentioned that engagement improved by two points in 15 countries. Maybe Spencer, could you expand a bit on what you think is driving that and how that's trended to start the year? And then just a second question, user experience headwinds. You called called that out as coming in less than expected. Could just give some color on maybe in particular, where are you seeing less of a headwind? You had anticipated? Thank you.
Spencer Rascoff: Yeah. Absolutely. So I'll give you some some data here. For example, I said in the prepared remarks that countries representing one-third of our MAU have improved by two or more points. And you know, we said it's it's over around 15 countries. So, for example, Korea, went from in December 2024 Korea, MAU South Korea, MAU, was down by 8% year over year. And in December 2025, South Korea MAU was up 2%. Year over year. In December 2024, Japan MAU was down 12% and in December 2025, it was down 6%. And as I've already said, Australia went from down 12% to down 9% from December 2024 to December 2025. So really nice swings in MAU in some key countries. It's hard to put a single finger on what is driving these numbers because we've made so many encouraging product changes. But the you know, if I if I had to if I had to put a finer point on it, I'd say it is change improvements to our recommendation algorithm Number two, it's double date. Number three, it's face check. Improving authenticity. And number four, it's marketing. Those, I think, are the four biggest drivers of those MAU improvements in those countries I mentioned. And then to think about the revenue, kind of the revenue trade-offs, I'll give you a couple quick examples to try to understand how this happens. One, we've already talked about, which is face check. When we first launched face check, Canada, it we saw immediate improvements in trust and safety, but it was a 10% revenue hit. Two to 3% revenue hit Through a lot of hard work and iteration, we got that down to a and we started rolling it out into other countries. And but we kept at it And now it's about a 1% revenue headwind, but a 50% reduction. In your interactions with, with fake accounts or bad actors. So well worth it for just a 1% revenue shortfall. But from negative 10% to negative 1% revenue hit over a couple months of iteration. I'll give you another quick example. We have a new For new users. You know, we're testing some work on the week zero experience. And if we show new users a couple of free user accounts who like them, every time they open the app, we've seen a 9% improvement in Spark coverage for Gen Z users, but it impacts revenue an unacceptably large amount. And so now, just as with the face check example, now we iterate. Now we see how we can mitigate that and how we can reduce it. And when we get it to a reasonable revenue hit or perhaps if we get it to revenue neutral, then we'll roll out initiative like that, which will really improve user outcomes for Gen Z at some smaller tolerable revenue impact What we saw in Q4, and I think Steve mentioned this in his remarks, is we continue to underspend our revenue give back budget. I think in Q4, it was we spent $9 million out of $15 million. Expecting $14 million, and it came in, much less than that, around $6 million. Okay. And, you know, what we've bracketed for 2026, is, $60 million and you know, we we intend to spend that. That's not a sandbag. That's a that's a real number. But what we have found is that we are very good at iterating as in the face check example, to mitigate revenue impact and still retain the user benefits from these types of initiatives. Operator, next question, please.
Operator: The next question is from Shweta Khajuria with Wolfe Research. Please go ahead.
Shweta Khajuria: Okay. Thanks for taking my questions. Let me try two, please. On the improvements that you are talking to right now, Spencer, in the letter and in your prepared remarks, you mentioned that you saw material improvement in experiences for women. Which is one of the drivers through greater relevance and safety. So could you please talk to how you're measuring relevance for women? Any quantifiable data points that suggest that that that drove relevance? And then second is when we think about the relationship to payers eventually, much of a lag do you think there will be so we start seeing new registrations sparks and sparks coverage MAUs and then eventually payers. How should we think about that timeline? Thanks a lot.
Spencer Rascoff: Sure. Thanks, Shweta. We look at retention and spark coverage and user satisfaction by all types of of breakdowns by age, by demo, by gender, by sexual orientation, and many other factors. So I don't have at my fingertips here specific data on female retention, for example, or, you know, improvements. From it. I'm trying to I'm trying to rack my brain here to think about how I can be responsive to your question. You know, I'll I'll I guess I'll talk about double date for a moment, which has been such an feature to change perception of what Tinder is. Articulating that Tinder is for fun, low-pressure, ways to meet new people with friends. And this is a product that really appeals to female Gen Z users. It's only been out for a couple months in the US, but already forty-eight percent of Gen Z women in the US cite double date as a unique reason to use Tinder. And sixty-nine percent of US Gen Z women say they're aware of the feature and forty-six percent of US Gen Z women say that DoubleDate is the most defining feature of Tinder. So know, the other the other metric I'd draw your attention to as I think I already stated that female MAU in Australia is up even more than total MAU in Australia. So, actually, if you compare female MAU male MAU, it would be quite a bit higher over the Q4 period. And that's due to several things. As I said, it's due to double date. It's due to, REx improvements. And it's due to better marketing. So, you know, we we're definitely seeing stronger female retention female MAU growth as a result of our product initiatives. And marketing. Steve, you had the the second question. Yeah. And just how does that translate? Yeah. Look, the improving the expectation for improving MAU trends over 2026, we do believe will also lead to improving payer trends. So we expect those to improve throughout the year. So we we do see it translating to payers, and we expect that to continue to happen throughout the year. Next question? Thanks, Spencer. Thanks, Steve.
Operator: The next question is from Dan Salmon with New Street Research. Please go ahead.
Dan Salmon: Great. Good evening, everyone. Spencer, kind of a two-part question. Kind of wanted to go back and just review a little bit about the leadership transition at Hinge. And maybe more importantly, the the creation of Overtone. But then kind of dovetail that into some of the comments you walked through in your prepared remarks about the refreshed look at the portfolio and sort of the areas of fun, focus and familiarity and trying to place your bets within that framework. And and ultimately get to, you know, the sort of room you've left yourself here for both you know, small tuck in M&A and incubation. And just to see your, you know, obviously, your your last action here was was an incubated launch. But maybe just to expand on your thoughts on what the potential is there as you look at the portfolio and how it might evolve over the year?
Spencer Rascoff: Thanks. Yeah, absolutely. Good question, Dan. So Hinge didn't miss a beat when we changed CEOs in Q4 because Jackie, who's been running marketing and was effectively running Hinge for 2025, stepped in seamlessly to the CEO role. So the Hinge leadership team is is all is in place, is incredibly mission-oriented, capable, incredible, stewards of the Hinge business and just and just fantastic and really understands the Hinge user. And the product roadmap. So Hinge continues to to march on know, I'm glad you brought up what we call the gem, which is this portfolio strategy work This is one of the first things that I kicked off when I joined this company about a year ago, and and I said, I need to understand how all these brands fit together. And our employees were really anxious for this as well. They were saying, why do we have 20 something brands, and how do they connect with one another? What problems are they trying to solve and where should they overlap or not. And that work that we did, which was really important work that required and utilized a lot of consumer insights and and brand strategy work, gave us this framework that has been really, illuminating for us as a company. I would I'll I'll use that to talk for a moment. I would hinge, and then I'll answer your question about other other potential, additions the portfolio. With respect to Hinge being the leader in the focused space, Hinge's runway in that area is massive. I actually think the focus section of that gem has more total potential over the long run than even the fun side of that gem. Because demographically, it's a much bigger potential audience. It ranges from people in their mid-twenties up to people in their mid-seventies or mid-eighties that are looking for a focus find your soulmate, find your person, app that's designed to be deleted. And Hinge is really just getting started as it marches country by country. Globally. So massive potential for monthly active user growth for Hinge. And that segment, the focus segment, should monetize over time better than the fund segment because people are more willing to pay for a focused outcome than for a fun outcome. And those users also have more disposable income. So the monetization potential for Hinge as the leader in the focus space is is really significant. To answer your question about other white space or gray space we might find in the in the based on that brand strategy work. You know, we're we're always incubating new ideas. For example, we have, one right now called Slide focused in Korea, which is a three on three dating app concept concept only in Korea. And so, you know, we we launched something like that. We test. We learn from it. We decide whether to invest in it. Or to bring that feature set to other apps of ours or to or to stop investing in it. So right now, we have we have that one. We have another one, which I I don't I'm not gonna talk about at this moment. And, you know, we're always exploring new concepts as well as looking at potential investments or acquisitions. Operator, next question please.
Operator: The next question is from Nathaniel Feather with Morgan Stanley. Please go ahead.
Nathaniel Feather: Hey, everyone. Thanks for taking the question. Want to touch a little bit more on the new registration trends and the improvement there. You mentioned a lot of changes in the marketing side. What have been the main source of those new registrations? Are you seeing improvements? Registrations through organic channels, word-of-mouth or is it more marketing led? And then interested to hear about the learnings from chemistry to date. What's the consumer behavior been as you've added that new surface area to the app? Thank you.
Spencer Rascoff: Yeah. Thanks. Thanks, Nathaniel. So there have been a variety of sources of new Certainly marketing has been an important part of it. But double date also drives new invitations because existing Tinder users invite their friends to be their double day partner. So I I you know, it's been a a variety of of initiatives. And then, actually, organic social has been a big driver. You you know, you'll see you've seen things on on TikTok or Instagram today that you probably wouldn't have seen a year ago. People talking organically, oh, Tinder is back. Tinder is cool again. You know, I don't know what Tinder did, but I'm not not seeing bots or spam accounts anymore. I mean, that's that's how face check makes its way into the real world, into the the the Gen Z language on social. So that's driving organic new regs as well. And regarding chemistry, you know, chemistry is really two things. Chemistry is a, an AI way to interact with Tinder and answer questions in order to then get just a single drop or two rather than swiping through many, many profiles. It's also a way to connect your camera roll to Tinder and then let Tinder draw out insights from your camera roll. And in today, it's that's in service of driving a a custom AI-driven recommendation drop. But in the future, it will have other applications So we're learning a lot from chemistry. We think it helps on the first point, think it helps solve swipe fatigue. Which is, you know, an objection that we hear from users who say, I just wanna get to the good stuff faster. I wanna get to a a spark more quickly. And, of course, we have lots of ways to to do that. We improve recommendations. We improve lots things about the product. But another way to do that is to give people a new way to use Tinder. With this single drop. And then as I've alluded to, we have a lot of a a long-term roadmap regarding what to do how how to integrate the camera roll insights into the user experience as well. So still learning a lot about chemistry. You know, more to come. Next question, please.
Operator: The next question is from Ross Sandler with Barclays. Please go ahead.
Ross Sandler: Great. I thought I'd bring Steven into the Q and A here a little bit. So I guess high-level puts and takes on the 26% guide. If there's something that could surprise to the upside, what do you think that might be? And is this 50% Tinder EBITDA margin the new kind of right way to think about the longer term or should we head back north once the revenue starts to grow again? Thanks a lot.
Steven Bailey: Yeah. Happy to take this question. Here's the way I would think about the guidance. You know, it's a little bit low. It's flat it's flat revenue. In 2026, which is a little bit lower than what we had guided to about a year ago. The reasons for that are are really three reasons. One, some softness at E and E in Asia. If you look at kinda what we were expecting those businesses do in '26 verse a year ago to what we're expecting today. About a three-point headwind to total Match Group year over year revenue growth. So that's a pretty big factor. And then the other two is one, the Tinder user testing, which Spencer mentioned, that's about a point and a half headwind and that's $60 million budget to continue to test. Obviously, that's one where there could be upside if we continue to see we've seen in the last couple quarters where the impact to near-term revenue is less than we expect, you know, that could that could drive some upside, but we think it's prudent to keep that budget in place and allow the the product team to continue to to test. And then there's another point headwind from the global rollout of face check more broadly across the portfolio. That's a point headwind that we think as well we're taking, like Spencer mentioned. Then there's about a there's a point of FX benefit that we're getting this year. So if you add all those up, that's four and a half points of revenue headwind. And it kind of explains how we get to from the mid-single digits growth that we were sort of shooting for a year ago to the flat growth we were at today. But we think are all necessary investments to improve the long-term prospects of the business. If you go let let's let me just take a minute to go be through each of the BUs real quickly and hit the highlights. I think Hinge, you know, continues to do phenomenally well. Revenue is right on track with our expectations. Margins are ahead of where we expected. Tinder you know, we said it's gonna be down about the same as it was last year, call it four points. That's really the the user test budget 60,000,000 I mentioned and the and the rollout of face check. Combined, that's a four-point headwind. So plus or minus a point of FX that kind of gets you from the flat we were expecting a year ago to the four points we're down today. But again, I think well worth, you know, worthy trade-offs to make. You know, we talked about the payers. You know, the the one other thing I'll I'll mention again is you know, the composition of the revenue at Tinder, we're expecting to, you know, achieve this minus 4% decline through improving payer trends on flat RPP, which is a little bit different than what we've seen in the last couple of years and sets us up pretty well for improved revenue growth in '27. And then on E and E in Asia, you know, that underperformance is really slowing growth within the affinity brands, particularly at E and E. And Azar within the Match Group Asia BU Spencer, do you wanna touch on on those two?
Spencer Rascoff: I'll take this group quickly, and then you can hit the margin impact or the quarterly piece. So on Azar, Azar has been is currently not permissible in Turkey, and we think we have a path on that. We're working very hard on getting, usage in Turkey restored. But that contributes to a 2026 headwind, at least for now. Regarding E and E, the weakness on E and E is on Affinity. These are our brands that are race or ethnic specific, such as Chispa for Hispanic daters or BLK for black daters or Swans for Muslim daters, for example, those apps are on the focus side of the brand portfolio And, of course, the reason for that is if you're using an app just trying to find people of a particular of a particular ethnicity or race, you're probably in that focused zone where you're looking for your spouse or your soulmate. And so what we saw there was we saw, audience headwinds starting about a year ago on the affinity apps. And rather than just focus on monetization and sort of accept that audience decline, we decided to get ahead of it. And regain product market fit. So what we're doing on Affinity is we're moving from the swipe model to the vertical profile model, which we think makes a lot of sense for this user type. That has a revenue hit as we make that shift but we think it's the right thing to do to improve product market fit. Steve, you wanna finish the question on that?
Steven Bailey: Yeah. Let me just give a little bit more detail on a few other things to keep in mind. One is on the the cadence of revenue. Either we expect to be flat to down about a point in Q1 on a FX neutral basis, that's what we guided to. And we expect to be down about a point FX neutral for the full year if you take the flat guide and that one-point tailwind from FX we mentioned. And so that should be pretty stable revenue trends each quarter of this year. And then on profitability side of the equation, know, we're taking the savings we achieved from the workforce reductions and alternative payments. And we're investing that back into Tinder and Hinge and marketing. We mentioned the $50 million increase in in Tinder marketing spend. To about $230 million. We think they're all the right decisions to make, and that's puts you at the 37.5% margins for the full year. On the cadence on the margin side, I do think it will look a little different this year than in in years past. We guided to 37% margin to Q1. And then increase in margins in Q4 as we I'm expecting similar margins in Q2 and Q3. Spend down on marketing as we typically do. For the 37 and a half percent for the full year. So that hopefully gives you some better insight into the guide. On the Tinder margin question more long term, you know, we're not I'm not gonna guide. I don't think we wanna guide to Tinder Tinder margins will go. I will tell you, know, just we do not see these user givebacks as a structural change to the profitability of Tinder. We see them as necessary to improve user growth and and and the ecosystem. You know, once we can do that, I think there'll be plenty of opportunity to improve monetization at Tinder and get back to revenue growth in 2027 and beyond.
Spencer Rascoff: One data point on that Just looking at Australia of, you know, what happened in Q4. When we look at revenue per MAU in Australia as we started improving MAU there, The revenue per MAU is basically flat. So we you know, to to Steve's point, we're not expecting a structural change to the profitability of Tinder. We still think Tinder will have category leading and and, frankly, Internet leading margin structure. But, you know, but we're we are making these targeted user givebacks in order to improve MAU and and, especially certain types of MAU. That help improve the whole app ecosystem's health. Next question, please.
Operator: The next question is from Benjamin Black with Deutsche Bank. Please go ahead.
Benjamin Black: Great. Thank you for taking the question. Spencer, can you talk about balancing the need to sort of maintain the cadence of buybacks and the dividend versus perhaps being more aggressive on the product? And and prioritizing user outcomes, which ultimately may create or have been creating some near-term revenue EBITDA dislocation Do you see the potential to maybe sacrifice more on the top line to accelerate the momentum in user outcomes as we look ahead to the next year or two? And then just one quickly on Project Prism. Maybe dig into the early learnings and how is that shaping your marketing strategy going forward?
Spencer Rascoff: Yeah. Thank you. So I'm turnarounds are hard, and being the CEO of a turnaround is hard. But I'm blessed to be turning around a company that is immensely profitable. So with our enormous profits, we're doing five things at the same time. Number one, we're improving or increasing Tinder's marketing budget from a 180 to 230 Number two, we're giving users more value from Tinder by having this user give back budget of $60 million this year. Number three, we're fully investing in Hinge both on marketing and headcount so that Hinge can achieve its full potential. And then number four, we're funding a significant buyback, buying back about 7% of the company this year and 7% last year. And pay funding the dividend, increasing the dividend. So the fact that we're able to do all all five of these things simultaneously is a blessing. And I think we've right-sized each of those five levels of investment relative to to where they all need to be. So that's how I'd approach it. Regarding Prism, Prism, for those that don't know, is our first-ever Match Group wide analysis of measuring marketing efficacy across brands. So we've been able to put every single penny we spend on advertising across every single brand on an apples-to-apples basis and look at and and look at the efficacy of ad spend. What it, what it exposed to us was the benefits for brands like Tinder to be more focused on down funnel advertising performance and user acquisition advertising rather than top of funnel brand advertising. And it informed the increased spend on Tinder from a 180 to 230. And it also unlocked a lot of other learnings in the E and E brands as well as the, the Hinge brand. The former SVP of marketing at Tinder is now the CMO of E and E, which was a very important you know, cross-brand way for us to bring Tinder insights over to the E and E brands and and great expertise and and confidence over, you know, across the company as well. I think we have, we only have a couple more minutes, and we've got a couple more questions let's go to the next question. We'll see if we can get through all of them. If not, we might have follow-up offline. Next question, please.
Operator: The next question is from Brad Erickson with RBC. Please go ahead.
Brad Erickson: Yes, thanks. Spencer, I just wanted to follow-up on that last comment on Prism. You know, bottom of funnel for this space hasn't been that sort of common. And so obviously, you guys are gonna get a pretty good feedback loop, right, going here in in '26. Is there I guess, question is, like, why was $50 million the right number? And if you see more success, might you ramp it up? Or, you know, call an audible midyear? How should we think about that?
Spencer Rascoff: Yeah. Good question. I mean, we you know, what we we've we're following the same guidance that I had at Zillow, which is we always go one quarter out on guidance. And then in February earnings, we also also do a full year. We make the marketing decisions constantly real I mean, I'm I do The the Tinder marketing team is sitting down with me every three days to go through all of the data that we're seeing globally real time. So you know, what we're putting out today is what we think are the most likely scenarios for the full year. But if the ROI is not there, we'll pull back. And if the ROI is great, you know, we'll evaluate other other potential changes. But for now, is what we think is the most likely scenario for the year. But we are watching it real time constantly. Extremely hands-on on this one. The the Tinder marketing team, we've moved into the open space. At our building in the LA office, and that's who I sit with is the Tinder marketing and social media team because that's where I wanna be most aware of exactly what's happening. Day to day and week to week. Operator, perhaps time for one more one, maybe two more questions. Next question, please.
Operator: Next question is from John Blackledge with TD Cowen. Please go ahead.
Logan Whalley: Hey, guys. Thanks for the question. It's Logan Whalley on for John. So it's good to see the hinge rollout go well in Mexico and Brazil. Could you talk about what the timeline to monetization looks like for Hinge when it launches in new markets at this point? Like, how long, before the app kinda reaches critical scale? And then after that, how long is it before you you begin to focus on monetization? And then also, any any early learnings from Mexico and Brazil that you plan to apply to the South America launches for later this year? Thanks.
Steven Bailey: Yeah. Why don't I take the the monetization question? The the short answer is it takes time. It it it does. And then we you we've seen that with Hinge in Europe. I think that's the best sort of case study You know, they've been at it at in Europe for a couple years now. They've done phenomenally well, obviously. Know, that's the playbook. We've seen the MAU growth first. We're now starting to see revenue growth. It it's gonna it's gonna only be about a $100 million of revenue in 2026 from those countries. Which is a pretty small piece of the total. And if you compare that to you know, what Tinder's doing in that region, for example, it's still far below where Tinder's at. And so it takes time to build that liquidity to make sure the product's working. You know, at full scale. And then what we see is a couple things. One, you can optimize monetization for that region. And two, you get a natural increase in pair penetration in RPP just as the liquidity builds. And so I'd expect to see the same thing in Latin America, but I would not expect Latin America to be a major contributor to revenue. 2026 for Hinge or probably even in 2027 either. Especially, you wanna
Spencer Rascoff: Yeah. Have one thing I have one thing to add, which is the way Hinge is rolling out new markets today is different than the way it did in the past. Today, we are operating under a one MG philosophy. So everything is much more coordinated between Hinge and Tinder and E and E. In fact, have a single unified go-to-market motion in Asia, and a high degree of collaboration and coordination everywhere else in the world. So that's, know, that's a significant improvement as compared in the past. I think, unfortunately, we have to leave it at that. I'll I just wanna kind of give a high level. You take a big step back from all of this. We're doing three things at the same time. The first thing we're doing is a product-led turnaround at Tinder, which is underway, progressing well. Off to a great start. We shared a lot of encouraging data today. Second thing we're doing is fully funding Hinge's rollout and and ramp and helping Hinge achieve its full potential. But the third thing that we're doing is we are reducing our share count meaningfully. So by buying back 7% of the company last year, by increasing the dividend and buying back another 7% this year, We are creating an environment where free cash flow per share will compound And on the other side of Hinge's expansion and Tinder's product-led turnaround, we think there'll be this kind of coiled spring as we, you know, as we combine these three things together. So we're confident in the business. We're confident in the status of the turnaround and the hinges global expansion, and we think investors will increasingly take notice as we put more points on the board as 2026 rolls on. Thanks very much for joining. Those of you that are going to join the March 12 event in LA or on webcast, we'll tell you more about Tinder product then. And until then, it was great speaking with everyone. Bye bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.